Operator: Greetings, and welcome to Quaker Houghton’s First Quarter 2025 Earnings Conference Call. A brief question answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Jeffrey Schnell, Vice President Investor Relations. Mr Schnell, you may begin.
Jeffrey Schnell: Thank you. Good morning, and welcome to our First Quarter 2025 Earnings Conference Call. On the call today are Joe Berquist, our President and Chief Executive Officer; Tom Coler, our Executive Vice President and Chief Financial Officer; and Robert Traub, our General Counsel. Our comments relate to the financial information released after the close of the US markets yesterday, May 1st, 2025. Our press release and accompanying slides can be found on our Investor Relations website. Both the prepared commentary and discussion during this call may contain forward-looking statements, reflecting the company’s current view of future events and their potential effect on Quaker Houghton’s operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures and the company has provided reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures in the appendix of the presentation materials, which are available on our website. For additional information, please refer to our filings with the SEC. Now it’s my pleasure to hand the call over to Joe.
Joe Berquist: Thank you, Jeff, and I’d like to welcome everyone to Quaker Houghton’s first quarter 2025 earnings call. First quarter results were directionally in line with our expectations, despite end-market demand being softer than we had anticipated. While our volumes declined 1.5%, we estimate our markets were down in aggregate a low to mid-single-digit percentage compared to the prior year, due to a continuation of soft industrial activity and uncertainty regarding tariffs, which impacted customer decision-making and order patterns. The team performed well, successfully gaining additional market share across all segments, despite the challenging global macroeconomic environment. Our results once again displayed the resilience in our business that comes from operating across diverse geographic end-markets with a robust and advantaged portfolio. We continue to maintain our focus on delivering the best outcomes for our customers and affirm a steadfast commitment to managing items within our control. We are advancing our previously announced $20 million cost program, which will be substantially complete in the first half of 2025. We also made important strategic investments, including acquiring three companies, which further enhance our portfolio and will expand our addressable market, while providing more avenues to serve our customers and accelerate our growth. Quaker Houghton is in a strong financial position. While tariffs have caused volatility, we are confident that we are well situated within our markets due to our “local for local” strategy and are positioned to mitigate most of the potential direct impacts to our supply chain. We continue to take steps to minimize impacts to our customers that may arise from tariffs, as we work together to navigate adverse conditions in the global supply chain. I will say a few words about the quarter, then provide some comments on the outlook for 2025. Then I will hand the call over to Tom to discuss our financials in more detail. First quarter net sales were $443 million, 6% below the prior year or 3% lower on a constant currency basis. We continue to outperform the aggregate of the end-markets in which we operate, which we estimate declined by a low to mid-single-digit percentage compared to the prior year. Our total volumes inclusive of acquisitions declined approximately 1.5% compared to the prior year. This was a positive result as a continuation of growth in the Asia-Pacific segment and new business wins globally, mostly offset softer market conditions, primarily in the Americas and EMEA regions. I am pleased with our ability to gain new business despite the challenging market conditions. This is especially evident in our metals business, which is contributing to the relative outperformance, compared to market rates. Our net new business wins are trending at the high end of our targeted annual range of 2% to 4%.and we are encouraged by a strong pipeline of ongoing trials and business development opportunities. These gains are made possible by our diversified portfolio of products and services, our cross-selling capabilities, and our service model. Gross margins improved 120 basis points to 36.4%, compared to the lows in the fourth quarter of 2024. Gross margins are within our long-term range, but are below the prior year due to the timing of raw material cost increases and product and geographic mix. As a result of the team’s operational performance, we generated $69 million of adjusted EBITDA in the first quarter, an increase of $4 million sequentially and adjusted EBITDA margins of 15.6%, reflecting our disciplined cost management. Our company’s growth strategy is aligned with industries, customers, and businesses that despite near-term challenges have positive long-term growth characteristics. We aim to enhance our customer intimacy model and build on our leadership position in our chosen markets. We serve many industries, each with unique, often niche applications and needs and believe our ability to provide the best value to our customers is one of our key competitive advantages. Last quarter, I highlighted our top priorities, which are, one, returning to growth; two, reducing complexity; and three, effectively deploying capital. We have a lot of work to do, but we have made progress advancing our strategy. For example, we have taken actions to recenter and strengthen leadership around our portfolio of advanced and operating solutions. We are improving the visibility of these and other technologies throughout our regions. To accelerate our cross-selling and globalize the full suite of Quaker Houghton products and services, I recently spent time traveling across our sites and customer operations in Asia. I am confident in the potential and believe we are taking the right steps to continue to build our team’s product capabilities and pipeline to capitalize on higher growth geographies like Asia-Pacific, where we continue to show volume expansion in a highly competitive region. We have launched several cross-functional commercial, strategic, supply chain and operations initiatives. These initiatives empower us to capitalize on opportunities to gain share in the white space in our addressable markets. We are taking steps to improve customer satisfaction. For instance, through reducing lead times and improving our cost competitiveness, as we help our customers navigate the market turbulence. These initiatives have stirred a lot of excitement in the organization, harnessing the energy to leverage our technical expertise, industry knowledge, financial strength and global scale. Our FLUID INTELLIGENCE platform is another way we will provide a step change in automation efficiency for customers. We have reprioritized R&D resources to accelerate this and other development initiatives that have performance advantages compared to current technology. The interest in these efficiency plays and customers’ acceptance is strong and growing. The $20 million of cost actions announced is progressing, and we continue to expect this will deliver approximately 15 million of in-year benefit, primarily in SG&A. We are also encouraging our teams to increase their focus on customer needs, streamlining decision-making processes and improving our reaction time. Meanwhile, we are continuing to invest in our future. Our facility in China is under construction and will enable us to supply the region with our full portfolio of solutions and further enhance our ability to be “local for local”. We have also continued to invest in our multi-channel approach, with the intention of making it easier to do business with Quaker Houghton. We’re making investments to improve our overall customer interface through e-commerce, building our inside sales channels, leveraging our distribution network and partnerships and strengthening our direct sales model and we are initiating another phase of product simplification program, harmonizing our business processes and organizing our brands to reduce complexity and raise brand awareness. These actions are bringing a sharper focus to our customer intimacy model. They will take time to fully develop, but we are making progress putting more rigor around these processes, which is also informing how we can better develop talent and enhance our customers’ operations. Our business model and execution has resulted in our strong financial profile, delivering predictable cash flows. We look to deploy capital in a disciplined and prudent manner based on a long-term framework of value creation, which considers all factors, including organic investments, debt reduction, M&A and shareholder returns through dividend growth and share repurchases. The three strategic acquisitions we made so far this year are the exact definitions of what we look for when deploying capital. For instance, Dipsol. Dipsol is a leading provider of surface treatment solutions, primarily electroplating to the automotive and other industrial segments. Dipsol has market-leading positions, long-term customer relationships, strong margins and cash flows and have consistently demonstrated above-market organic growth. Importantly, Dipsol has a strong cultural fit with our company and is a great addition to Quaker Houghton. This transaction was valued at approximately 10.5 times its trailing 12 months adjusted EBITDA and below nine-times on a post-synergy basis. We are pleased to make the attractive acquisition of Dipsol, a strong company with solid underlying growth and strong cash flow. Through innovation and acquisitions, our portfolio has become much more diverse. Expanding our basket of solutions, we can provide our customers and elevating our ability to be a full solution provider. They also provide opportunities to increase our addressable markets and are accretive to margins. Quaker Houghton has a long tradition of outpacing its end-markets by deploying its differentiated customer intimate model and building trust with customers through our best-in-class products, services, people and expertise. During this period of heightened uncertainty, we believe it is even more critical that we reemphasize our commitment to our customers’ success. The actions we are taking all support our ability to respond to customer needs and advance our strategy. Turning to our outlook. Quaker Houghton is well positioned. We have a pipeline of trials underway to gain new business with customers, which we expect will support our ability to drive above-market growth in 2025, in line with our long-term annual expectation of 2% to 4%. Quaker Houghton is a global company and the uncertainty around trade and tariffs has impacted the end-markets we serve. Absent additional information or clarity and taking into account some tariff impacts, we now expect our underlying market growth rates will decline a low-single-digit percentage in 2025 compared to 2024 levels. We are excited by our recent acquisitions, including Dipsol, which should add a few percentage points of growth in 2025, helping to offset the expected countervailing trends in automotive, transportation and industrial markets. Based on our current visibility and despite the increased uncertainty caused by tariffs and trade dynamics, we expect revenue and earnings will be in line with 2024 levels. This view considers the current state of uncertainty and reduced sentiment across our end-markets. Because we operate locally with sourcing, manufacturing and our technical expertise close to the customer and due to the criticality of our products and services to our customers’ operations, we believe we can offset most of the direct impact of tariffs on our cost structure. It is more difficult to assess the implications of the tariffs on end-market demand. However, we are in close communication with our customers and will remain nimble and use our scale as an advantage. We are also prepared to take additional cost actions should it be warranted. The long-term fundamentals of our industry are positive. We are effectively managing what we can control, improving our capabilities and strengthening our business. We have demonstrated our ability to manage through other periods of volatility, generate cash flow and become stronger. Switching to the second quarter, we expect a modest seasonal improvement in demand across all our segments and a benefit from recent acquisitions, while potential uncertainty related to tariffs remains. With that, I’d like to pass it to Tom to discuss the financials in more detail.
Tom Coler: Thank you, Joe, and good morning, everyone. First quarter net sales were $443 million, a decline of approximately 6% from the prior year or 3% on a constant currency basis. Sales volumes declined approximately 1.5% as new business wins and a contribution from acquisitions of approximately 1% were more than offset by a continuation of the soft macroeconomic environment, primarily in the Americas and EMEA segments, which persisted throughout 2024 and weakened further in the first quarter of 2025. Selling price and product mix was approximately 1% lower and foreign exchange was a 3% unfavorable impact to net sales in the quarter. As expected, gross margins improved 120 basis points to 36.4% compared to the lows experienced in the fourth quarter of 2024, driven by positive mix. Gross margins declined year-over-year when compared to the record levels in the first quarter of 2024 due to the timing and impact of higher raw material costs, geographic and product mix and manufacturing absorption on lower volumes. Excluding one-time items, SG&A declined $7 million or 6% compared to the prior year. The decrease primarily reflects our disciplined cost management and reduction actions. We are progressing with the actions related to the additional annualized $20 million cost program announced last quarter and expect approximately $15 million of benefit in 2025 compared to the 2024 base. We delivered $69 million of adjusted EBITDA in the first quarter compared to $83 million and $65 million in the first and fourth quarters of 2024. Foreign exchange was a $4 million headwind year-over-year and a $1 million headwind sequentially. Adjusted EBITDA margins were 15.6%, reflecting the sequential improvement in gross margins and our cost actions taken in the quarter. Switching to our segment results. Net sales on our Asia-Pacific segment declined 2%, compared to the prior year, but were in line with the prior year on a constant currency basis. Organic volumes increased approximately 1% and the Sutai acquisition added another 2%. Selling price and product mix was 3% lower. The Asia-Pacific market is highly competitive, but we have continued to outperform driven by new business wins, especially in our metals business as the team is successfully cross-selling and winning trials. Selling price and products mix reflected some selective incentives, first fills and geographic mix. Segment sales decreased on a sequential basis as expected due to the seasonality related to the Lunar New Year. Segment earnings and margins in Asia-Pacific declined compared to the prior year. This reflects the impact of lower sales, higher raw material costs and product and geographic mix. We will begin to implement some targeted pricing actions to improve the profitability of the segment. Net sales in the EMEA segment were 7% lower year-over-year or 4% on a constant currency basis. Total sales volumes declined 3% and selling price and product mix decreased 1%. Segment sales increased on a sequential basis driven by higher sales volumes, including acquisitions and positive selling price and product mix. Segment earnings in EMEA decreased by approximately $6 million compared to the prior year. This was due to the lower sales and a decline in segment margins. Despite higher raw material costs, EMEA’s segment earnings and margins improved compared to the fourth quarter as expected. Net sales in the Americas declined 7% year-over-year or 3% on a constant currency basis. Volumes declined 3% due to a continuation of soft industrial activity, low steel utilization rates, which remain below five year averages and soft automotive transportation and heavy machinery production. Selling price and product mix was consistent with the prior year. Our net sales volumes and selling price and product mix increased sequentially as new business wins and mix offset a softer market. Segment earnings in the Americas declined by $8 million compared to the prior year, driven by lower sales and segment margins. As expected, America’s segment earnings and margins increased compared to the fourth quarter, driven by the higher volumes and mix. Overall, the team performed well in the first quarter, managing through a very dynamic operating environment with a high degree of uncertainty and volatility. Turning to non-operating costs, our interest expense was $10 million in the first quarter, a decline of $1 million compared to the prior year. This reflects the reduction in our variable cost debt and lower rates, which are currently yielding approximately 5%. Our effective tax rate, excluding non-recurring and non-core items was approximately 29% in the first quarter in line with our expectations for our full year rate. And in the first quarter, our GAAP diluted earnings per share were $0.73. Our non-GAAP diluted earnings per share were $1.58. Cash from operations was a use of $3 million in the first quarter, which is typically our lowest from a cash generation perspective due to incentive payments and working capital investments and the seasonality of our business. We also paid $9 million of cash for our restructuring activities in the quarter. We will align our working capital levels with the macro environment, while maintaining the flexibility to be responsive to our customers’ production needs, while delivering another strong year of cash flow in 2025. Capital expenditures in the first quarter were approximately $12 million reflecting the construction of our new facility in China. For 2025, our expectation for capital expenditures remains at 2.5% to 3.5% of sales. In the first quarter, we closed on our acquisition of Chemical Solutions & Innovations or CSI for approximately $4 million. Subsequent to the quarter, we acquired Natech for approximately $6 million and Dipsol Chemicals for approximately $155 million, which was funded through our existing credit facility. Our net debt at quarter end was $551 million and our net leverage ratio was 1.9 times our trailing 12 months adjusted EBITDA. The interest on our variable rate debt is approximately 5%, and we have no maturities until 2027. As we close on the first quarter, we are well positioned, aligned with end-markets that have attractive long-term characteristics and focused on increasing our share. We have more opportunities to drive efficiencies for our company and our customers’ operations and we will continue to manage our costs. Our financial profile, balance sheet and liquidity are strong and provide opportunities to execute on our disciplined capital allocation strategy to accelerate our growth and create shareholder value. With that, I’ll turn it back to Joe.
Joe Berquist: Thank you, Tom. We are making progress refocusing the organization, streamlining our business processes and executing on our strategic pillars to drive growth. With that, we’d be happy to take your questions.
Operator: Thank you. [Operator Instructions] Thank you. And our first question comes from the line of Mike Harrison with Seaport Research Partners. Please proceed with your questions.
Mike Harrison : Hi, good morning.
Joe Berquist : Morning, Mike.
Mike Harrison : Want to congratulate the Browns on all the quarterbacks they collected during the draft, Joe. Maybe start out with the tariff situation. Are there some input cost or cross border finished goods selling concerns that we need to keep in mind for Quaker? Or is the main issue the impact on kind of overall demand and just the uncertainty that is out there as it’s impacting your customers?
Joe Berquist : Yeah, good question, Mike. I’ll hold off commenting on the browns for another time. But I would say, we look at this in really three buckets, right? Raw material purchases, come in, some are single source, some are coming from China. We buy about 3,000 raw materials globally. There are raw materials that go out from the US that would have some impact. But largely as we look at this, because we are buying and producing locally, and we have dual sources of supply and ability to sort of qualify as needed we think that we can largely mitigate those impacts. There’s also some of these raw materials are on index base. So, we have levers in place, I guess, to delay and push some of these things back. But from a raw material purchase standpoint, pretty good shape overall. Finished goods similarly, I think, in this business, it’s hard to put water based products on a boat and be competitive shipping them around the world. So, we do manufacture locally. We do buy raw materials locally. And we’ve got a lot of flexibility in our footprint. For instance, we put a reactor in Thailand last year that gives us more capacity for other Asia and even China. So, some products that might have been coming from the US in the past are now more locally sourced. I think you hit on it, the bigger thing that’s harder to assess, I guess, is what’s the impact on demand going to be? We did see some impact in the first quarter. I think people are waiting to see how this unfolds. There’s a little bit of uncertainty, as we look into the second quarter, and it’s early, you know, I am happy to say, it’s sort of normal seasonal pickup that you would see heading from Q1 into Q2. But we’re keeping a close eye on it. I think we all wish we knew where this was going. It’s kind of a lot of uncertainty around will all these tariffs stick or not. But from an overall standpoint on margin and costs and really the impact to our customers, I think we’re pretty well mitigated.
Mike Harrison : All right. And then, Joe, during your prepared remarks there, when you were talking about strategy, you mentioned some re-centering of leadership. You mentioned the multi-channel approach, you mentioned some work you’re doing to kind of simplify the portfolio and improve brand awareness. It sounds like there is a lot going on behind the scenes right now to kind of make it easier to do business with Quaker Houghton. Can you maybe pick on a on a couple of those initiatives and give us a little more detail on the steps that you’re taking and what it’s going to lead to?
Joe Berquist : Sure, Mike. Yeah, good question. I mean, as I mentioned on the last call, I think one of the things we’re trying to drive at is reducing complexity in the company. I looked at how we were organized and there was a good bit of complexity around some of our product lines and not necessarily and strategically aligning with how we go to market. So, we have restructured the alignment of our strategy organization and product management with our business segments, certain metals, metalworking, advanced solutions, operating solutions. The advanced solutions and the operating solutions, those are probably 15%, 20% of our revenues. But these are newer technologies where we’ve got opportunity to cross-sell at an accelerated rate. And some of these products are new to our sales force, right? So, we’re looking at putting business development teams in to really help our regular sales force grow those things more quickly and increase the knowledge of the organization, bring that expertise to the interface with the customer. Brands is something that’s ongoing. We have a history of acquisitions. We’ve got a lot of brands and a lot of products and we’re spending time creating some more clarity around that. We still have legacy Houghton brands, legacy Quaker brands and many others. We want to have a Quaker Houghton brand family aligned with good, better, best positioning. And so that work continues and we’re making progress there. And I think the other one you hit on, which is really good is channel. Also, think just as I look at our business, a lot of complexity around - there’s a long tail of small customers, right? And all of our customers are important. But when you think about how we serve all these customers, we want everyone to have a good experience, a customer intimate experience with us. So, we’re using technology, we’ve created an inside sales channel or even implementing some e-commerce things where people can get on and get information and chat and that gives us a more scalable approach to service. And then it frees up our people to go after big game to go hunt the bigger target. So, you hit on it. There’s a lot going on there always is, but we feel really good about those things and a lot of energy in the company right now about these changes.
Mike Harrison : All right. And then, last question for me. You were pretty clear with the full year sales and earnings outlook. I was hoping that maybe you could give us a little bit more color on the puts and takes as we’re thinking about the second quarter EBITDA. It sounds like maybe you’re expecting some sequential improvement in volumes, which would be seasonal some contribution from Dipsol. But maybe just help us understand maybe on the cost side of the equation, how we should be thinking about that sequential growth and how that should contribute to EBITDA growth in the second quarter?
Tom Coler: Yeah, hi, Mike. Good morning. It’s Tom. I’ll share a little bit on Q2. I think, as you mentioned, Joe hit kind of our outlook in the prepared remarks. As we look at Q2, I think net-net, we expect EBITDA to be modestly higher versus Q1. Joe mentioned directionally, we expect normal seasonality across our regions, and we are seeing that here in the first month in April for Q2, we anticipate that our share gains will continue, which will help to supplement the continued soft market environments that we’re seeing. And then, as you think about SG&A, core SG&A, we’re anticipating to be around Q1 levels. And then as you mentioned, then you add in Dipsol here starting in Q2. So, I think hopefully that gives you a little bit more color on how we’re thinking about Q2.
Mike Harrison : Yes. Very helpful. Thanks very much.
Operator: Our next questions are from the line of Laurence Alexander with Jefferies. Please proceed with your questions.
Kevin Estok : Hey. Good morning. This is Kevin Estok on for Laurence. So you guys mentioned some order volatility. I was curious, I guess, how much has volatility increased and maybe where have they increased the most and like if there’s a regional skew there. And I guess what have customers been saying that I guess they would need to see the return to more stable order patterns?
Joe Berquist : Yeah, I think, I mean, I think that volatility has really been in place for a few years now and probably accelerated here in the first quarter because of tariffs. But the areas that have been most impacted and at least in the first quarter were really Europe and the Americas. We saw things decline in the second half of last year. They declined further in the first quarter and that was a little bit unexpected. But also, I think people are managing their inventories down, they got stuck with some higher inventories toward the end of the year and they’re really being prudent about their own operating plans looking out ahead, right? I can’t, I wouldn’t put a pin on any particular product line or area. I think it’s just around lumpiness in the order pattern. Asia, they had the Lunar Holiday again, and sometimes that’s a non-event, sometimes it’s a little bit more impactful. I think this year it was a little bit more impactful as again, their markets overall are tepid, but we were able to show some growth there really coming from share gains.
Kevin Estok : Got it. Okay. Thank you. And then just my second question. So there’s been talk out of the administration on deregulation. And I guess, I was just wondering whether, I guess, you saw that there could be any direct impact on your business from broader deregulation or if you’ve heard from any of your US-based customers that you service that basically deregulation could have a material impact. Most people we’ve been hearing have said that essentially the impact would be minor. So I’m just curious what your thoughts are there?
Joe Berquist : Yeah, think similar thoughts there. It’s anything that service business growth we’re supportive of. I think, for us, regardless if regulations are in place, actually, that sometimes requires innovation and different solutions from us as a supplier to help our customers get through it. So, either way, we’re not really - we have never really been impacted by regulation and don’t expect that will be a material headwind going forward. More tailwind, say thank you..
Kevin Estok : Got it. All right. Thank you. I appreciate it.
Operator: The next question is from the line of Jon Tanwanteng with CJS Securities. Please proceed with your question.
Jon Tanwanteng: Hi, good morning and thank you for taking my questions. First one is, could you talk about the approximate contribution from acquisitions and the outlook for this year? Maybe beyond that, talk about the growth and synergy potential of Dipsol, especially as auto markets are likely to be one of the harder hit markets in the current environment and kind of what the expectations are there underlying it?
Tom Coler: Hi, Jon. So in terms of contribution from Dipsol, they did approximately $80 million of sales in 2024, approximately $15 million worth of EBITDA in 2024. So, as you think about the business for us, we acquired them in April, so you get roughly three quarters of that here in 2025.
Joe Berquist : Yeah, I’ll just add, really excited about Dipsol. It’s a great fit for our business. It brings a new technology, it expands our addressable market and from a strategic perspective, right down the fairway it fits similar customer base. So, and it gives us a, you know, a bigger footprint in Japan and in with some of those customers, which are really important globally. You mentioned automotive, we kind of bake that into our outlook. There is uncertainty in automotive. That’s probably the area that we’ve seen most of the impact so far this year, it doesn’t really change our overall guide where we expect to come in similar to 2024, very similar to 2024 with all the puts and takes we mentioned, but automotive it’s a question mark right now with tariffs.
John Tanwanteng : Okay, thank you. And then maybe if I could get just a little bit more color on the underlying tariff assumption that you have. Is that assuming the full boat, April 2nd plus China tariffs? Or are you expecting something less, as you build to that flat year-over-year expectation?
Joe Berquist : Yeah, I mean, base assumption is as of today, what we know today and yeah, I don’t really know, there’s this 90 day kind of cliff that everyone’s looking at. It would be hard to say what’s going to happen. Will that really go through or not go through? We’ve not assumed anything different from kind of current status.
Tom Coler: Yeah and I would say that, as we came into the year, we were thinking our markets would grow, sort of 1% to 2%. Now as we’ve observed sort of markets here, Q4 into Q1, our markets are down low-single-digits percent. So it’s hard to predict where the ultimate output or outcome of the tariff discussions go. But what we’re observing today is it feels like our markets continue to be soft and have weakened here in Q1.
Jon Tanwanteng: Okay, fair enough. If I could slip one more in there, just any thoughts on capital allocation? I know you obviously bought these companies, but your stock is trading a little bit lower than acquisitions. And obviously, as you keep an eye on leverage and then kind of how high leverage companies are treating the market these. Any color there would be helpful. Thank you.
Tom Coler: Yeah. Yeah. Thanks. Good question. So as we’ve said in the past, we’re going to continue to use all the tools in our toolkit when it comes to capital allocation. First and foremost, we’re focused on investing for growth, whether that’s M&A or organic growth. I’m really pleased with how the team executed in 2024. We acquired Sutai and IKB. We’re building a plant in China. We paid down debt. We have a longstanding tradition at Quaker Houghton of paying a dividends and then we repurchase shares. As you think about 2025, we’ve already acquired three strategic and very attractive acquisitions here in 2025 and we’re continuing the build out of our plant in China. So, I think options still remain for us. We’ve got a very healthy balance sheet. We generate healthy amount of cash flow. So we’ll be opportunistic as we think about the levers associated with how we deploy capital, but feel really good about how we’re positioned.
Jon Tanwanteng : Great. Thank you.
Operator: Our next question is from the line of Arun Viswanathan with RBC. Please proceed with your questions.
Arun Viswanathan : Hi, guys. Hope you’re well. Thanks for taking my question. Yeah. I guess first off, the volumes, if you look at the volume slide, they actually kind of look a little bit consistent sequentially and even over the last few quarters. But I know that the end-market weakness has continued. So, I guess what are you hearing from your customers? Have they started to are they pulling back even more and so we expect kind of a further drop off sequentially in Q2 or is there some seasonal help that should offset that? Yeah, maybe we’ll start there. Thanks.
Joe Berquist : Yeah, thanks, Arun. Thanks for your question. Yes, I mean, there is seasonal help, right? The first quarter, we said this on the Q4 call, we expected the first quarter to be probably our toughest quarter. Asia-Pac - Asia-Pac generally has a stronger second half of the year. Their fourth quarter is really strong and then they have the Lunar holiday. So that falls off Q1 into Q2. I think, again, just kind of normal seasonal pattern, there should be some help there for the overall business. The other thing is just visibility to our pipeline and our business acquisitions. I mentioned, we target to acquire net share gains in this kind of 2% to 4% range and had pretty good first quarter overall, as we looked at new SKUs, new badges coming on online into our business and a full pipeline outlook for the remainder of the year. So, as far as uncertainty or any signals from the customer that we’re going to see a differential change or something materially different than today, we’re not getting that right now. We’re very close to the customers. We’re in the plants. But it’s a dynamic situation and we’ll just we’ll react to what happens.
Arun Viswanathan : Okay. Thanks for that. And then apologies if I missed this, but on the margin side, you’re down in the 15.6% range on EBITDA this quarter. Do you still have line of sight to 17%, 18% EBITDA margins or 18%? And I know appreciating that you guys upped your productivity targets, but what’s kind of a rough bridge on how we get there? Is it mostly demand recovery? Or are there some other things on the price or cost side that we can that you guys can do to push those margins back up? Thanks.
Joe Berquist : Yeah, thanks. Good question. I think there’s multiple things there. We do have some select price increases that we’ll have to take action on where we’re seeing very specific raw material increases and we’ve shown the ability to go and do that in the past and we’ll do that as needed. Most of the cost actions that were taken really aren’t going to roll in to the business until kind of second quarter. Of course, there’s an offset there with regular merit and incentive rebuilds and things like that. But there could be a little bit of favorability on the SG&A side going forward. We are looking at our manufacturing footprint and we’ve made some changes. We closed the plant in the first quarter in the US We’re looking at optimizing the assets that we have to be more efficient and making reductions to where we need to. And I’d say final thing, we feel really good now is kind of five years out from the Houghton combination. We’ve got - we buy a lot of stuff, a lot of raw materials on the market and we’ve made some changes in the last year to put in place a global procurement, kind of category management approach where it was more regional in the past and we’re looking at ways to source things at a better, more cost effective way than we had in the past. So, many different things there that we’re working on, but you’re right to focus on kind of this EBITDA margin. I think we get hung up sometimes on gross margins. For us, we are targeting high-teens 18%, 19%. Ultimately, we want to get to EBITDA margins at 20% or above.
Operator: Thank you. At this time there are no further questions and I would like to turn the floor back to Joe Berquist for closing comments.
Joe Berquist: Yeah, thank you. We appreciate your continued interest in Quaker Houghton and just want to thank all of our colleagues around the world for their dedication to our customers and our company. If you have any questions, please reach out to Jeff and we’ll be happy to talk with you. Thanks.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.